Operator: Good morning. My name is Ray and I will be your conference operator today. At this time I would like to welcome everyone to the Harley-Davidson first quarter 2008 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be question and answer period. (Operator Instructions) It is now my pleasure to turn the call over to your host Amy Guiffre, Director of Investor Relations. Ma’am you may begin your conference.
Amy Guiffre: Good morning everyone. Welcome to Harley-Davidson’s first quarter 2008 conference call. Over the next hour Harley-Davidson’s CEO Jim Ziemer will speak to you about actions we are taking to address the US economic environment and the outlook for our business. Jim will be followed by CFO Tom Bergmann who will share the financial results for the quarter. Then, Saiyid Naqvi, President of Harley-Davidson Financial Services will talk about the performance of that business unit. Jim Ziemer will share some closing thoughts and open the phone line for questions. Before we begin please note that this call is being webcast live on www.Harley-Davidson.com and will be available for replay throughout the next several weeks before being archived. It can also be accessed until April 24th by calling 706-645-9291, pin number 39966333#. Our comments today will include forward-looking statements that are subject to risks that could cause actual results to be materially different. Those risks include among others matters we have noted in our latest earnings release and filings with the SEC. Harley-Davidson disclaims any obligation to update the information in this call. Now, I’d like to turn the call over to CEO and President of Harley-Davidson, Inc. Jim Ziemer.
James L. Ziemer: Good morning and thank you for calling in today. As you’ve read in our press release Harley-Davidson has made some significant changes to our outlook for 2008 and I want to open the call today by talking about them. I believe there are four key things that underlay these actions: first, the economic slowdown has affected Harley-Davidson along with many other businesses and sectors and there’s no sign of when things may turnaround; second, in light of a disappointing trend at retail in the US and certainly about the future of the economy we’re moving to position the company for a business environment that we expect to continue to be challenging; third, Harley-Davidson remains profitable and is fortunate to be dealing with the current economic environment from a position of financial strength; and fourth and perhaps the most important, Harley-Davidson has always managed the business for the long term and we will continue to do so. Let me talk about the first two of these, the challenging environment and our actions. Then, I’ll come back at the end of the call to cover the other two points. The US economy continues to make this a very challenging environment for us as it does for many other business and sectors. In the first quarter the impact of the economic slowdown was felt most acutely at retail as our US dealers’ new motorcycle sales declined 12.8% compared to a year ago and the rest of the [inaudible] declined even more and from my vantage point it is unclear when the US economy will recover. As a result, we’ve taken important steps to significantly reduce our shipments for the rest of this calendar year and reduce our workforce. We now plan to ship 23,000 to 27,000 fewer Harley-Davidson motorcycles in 2008 than we did in 2007. This action supports our commitment to ship fewer Harley-Davidson motorcycles to our worldwide dealer network then we expect them to sell at retail. The shipment reduction will be achieved through temporary plant shutdowns and adjusted daily production rates resulting in a decrease of about 370 unionized employees. We will also be reducing the non-production workforce by about 360 jobs. These actions are critical to position our business for an environment we expect will continue to be challenging. In light of our actions and the uncertain environment going forward the company now expects full year 2008 EPS to decline 15 to 20% compared to last year resulting in an EPS between $3.00 and $3.18. This guidance includes a charge of $20 to $25 million to implement the workforce reduction. Beginning in 2009 we expect an ongoing annual benefit of $35 to $40 million as a result of this workforce reduction. This supersedes all prior guidance on earnings per share and other measures. These decisions on shipments and workforce reductions weren’t easy to make by any stretch of the imagination especially since the employees who will be affected are valued members of the Harley-Davidson family. But, I believe these decisions are the right ones for the long term interest of all our stakeholders during what we expect to be a continued tough retail environment in the US throughout 2008. I’ll be back later in the call with some additional perspectives on today’s announcements and the direction of the business. Now, let me turn the call over to the CFO, Tom Bergmann who will discuss our financial results.
Thomas E. Bergmann: Good morning everyone. I will get in to the numbers in a moment but first I want to reiterate Jim’s comments that the tough US economic environment continues to be a challenge for Harley-Davidson. The actions we announced this morning are necessary steps to ensure we are protecting our premium brand and maintaining our strong financial position for the long term. However, it wasn’t all bad news for the quarter. A few highlights include international retail sales continued strong growth up nearly 17%. We completed $100 million of share repurchases. We had a successful interdiction of the new soft-tail crossbones model and the ratification of a new labor agreement with our Wisconsin unions approximately two weeks ago. With that, let me now turn to the first quarter of 2008 and the results for the motorcycles and the related product segments compared to the first quarter of 2007. I’ll start by looking at our dealers’ worldwide retail performance. Before I begin please note that in the retail sales tables included in the release this morning we are providing a new format that more closely reflects our sales organization and strategic plan. We will now report retail sales for our four major sales regions: North America, Europe including the Middle East and Africa, Asia Pacific and Latin America. On a worldwide basis retail sales of Harley-Davidson motorcycles by our dealers were down 5.6% for the quarter compared to a year ago. As Jim mentioned retail sales of new Harley-Davidson motorcycles in the US decreased 12.8% in the first quarter of 2008 compared to the same period in 2007. Overall, the US 651 plus CC motorcycle market decreased 14.0% in the first quarter. Outside of the US our dealers growth continued as first quarter retail sales increased 16.8% compared to the same quarter last year. Retail sales of Harley-Davidson motorcycles in Canada were up 31.1%, the Europe region was up 7.8%, the Asia Pacific region was up 19.5% and the Latin America region was up 53.3%. Now looking at wholesale shipments for the quarter, worldwide Harley-Davidson motorcycle shipments were 71,868 units an increase of 6.1% over the first quarter of 2007. Please note that shipments in the first quarter of 2007 were affected by a strike at Harley-Davidson manufacturing facilities in York Pennsylvania that resulted in approximately four weeks of loss production. Domestic shipments of 47,826 units for the quarter were down 1.9% from the first quarter of 2007. This shipment volume represented 66.5% of the total volume shipped to worldwide dealers down from 71.9% a year ago. International shipments of 24,042 units were up 26.4% compared to the same quarter last year. International shipments increased to 33.5% of our total worldwide first quarter shipment volume compared to 28.1% in the first quarter of 2007. For the second quarter of 2008 we expect to ship between 76,000 and 80,000 Harley-Davidson motorcycles. This is approximately 15,000 to 19,000 units fewer than the second quarter of 2007 as we begin to implement the shipment reduction we announced this morning. Many of you ask me about inventory levels at Harley-Davidson dealerships in the US. At the end of the first quarter 2008 our US dealers had lower inventory than one year ago and we believe we are taking the right steps to carefully manage the supply of motorcycles to our dealers. Today, based on the retail outlook for the US we made the difficult decision to reduce wholesale shipments. This action is intended to strike a balance between the need for our dealers to have appropriate inventory levels to meet retail demand as they enter the busiest selling part of the year while at the same time ensuring the exit the model year with an appropriate amount of carryover inventory. As I said before, gauging the right level of shipments is not an exact science but we are working together with our dealers to continually improve our balance between supply and customer demand. However, as we begin to implement the shipping reduction here in the second quarter we realize this may result in some inconvenience to our dealers and customers and we are working to minimize any possible reduction. Looking forward, the new allocation system we introduced last year to the dealer network is an important tool that in time will ultimately provide more flexibility and enable us to do a better job of having the right motorcycles in the right market at the right time. Looking at mix, the mix between motorcycles and within motorcycle families is ultimately driven by customer demand and in the short term mix can vary widely by quarter due to a variety of factors. This quarter is no exception and year-over-year mix changes were affected by last year’s strike in York Pennsylvania where our touring and soft-tail motorcycles are assembled. Touring volume was 36.8% in the first quarter of 2008 compared to 32.2% in 2007. Custom shipment volume representing our soft-tail, Dyna and BRSC motorcycles was 40.5% in the first quarter of 2008 compared to 45.4% for the first quarter of 2007 and Sportser motorcycle mix was 22.8% of the total mix for the first quarter of 2008 compared to 22.4% during the first quarter last year. We continue to manage mix carefully and balance shipments between our major motorcycle families based on forecasts in customer demand. Our product investments in touring continue to be market leading and our latest introductions in the custom segment Rocker C and Crossbones are hot sellers as customers are eager to ride these new models this spring. Sportster continues to be an important source of new customers. Nearly three quarters of Sportster owners are new to the Harley-Davidson brand. Additionally, Sportster customers are extremely brand loyal as over 90% who plan to purchase another motorcycle aspire to purchase another Harley-Davidson motorcycle. Now, turning to revenue, revenue from Harley-Davidson motorcycles was $1.02 billion up 14.1% from the first quarter of 2007. Average revenue per Harley-Davidson unit increased $997 or 7.6% from the year ago quarter. This increase can be primarily attributed to favorable mix and favorable foreign exchange rate. Revenue from parts and accessories was $181.9 million for the quarter which was down 3.3% over the year ago quarter. This decline is primarily attributable to the decrease in new motorcycle retail sales in the US. To help support P&A demand a website tool that allows customers to select accessories and install them on a virtual motorcycle was updated this quarter to include all available Harley-Davidson models. Consumer use of that tool is up over 200% compared to last year. General merchandise revenue was strong at $84 million an increase of 10.4% or $7.9 million. Our general merchandise group has done a great job of enhancing the Harley-Davidson experience for new customer groups particularly for women and international riders. Let’s take a look at margins. Gross margin in the quarter was 36.4% of revenue up from 35.9% in the first quarter of 2007. This increase can be primarily attributed to favorable mix and favorable foreign exchange rates. Also, margins in the first quarter of 2007 were affected by the York strike last year and margin benefits were partially offset by additional product and manufacturing costs. Operating margin for the first quarter of 2008 held steady at 20% the same as the first quarter of 2007. SG&A was slightly higher due to international spending, warranty and product development costs which resulted in flat operating margins for the quarter. Now, I’ll turn and I’ll review our financial services segment results for the first quarter. Harley-Davidson Financial Services delivered first quarter operating income of $34.9 million a decrease of $24 million or 40.8% compared to last year’s first quarter. This decrease is primarily due in a reduction in income from securitization. As most of you are aware the first quarter was a challenging time in the securitization markets. In the first quarter of 2007 HDFS sold $540 million of retail motorcycle loans. As part of the transaction HDFS retained $54 million of the subordinated securities on its balance sheet and recognized a loss totaling $5.4 million. This compares to an $800 million securitization transaction with a gain of $13 million during last year’s first quarter. The loss in the first quarter of 2008 was driven by increased securitization funding costs due to capital market volatility and expectation of higher credit losses compared to historical trends. I will now turn it over to Saiyid who will comment on HDFS’ operations and portfolio performance.
Saiyid T. Naqvi : Good morning. During the first quarter economic conditions continued to be challenging for all consumer lenders including Harley-Davidson Financial Services. HDFS originated $518 million in retail motorcycle loans in the first quarter of 2008 compared to $630 million in the first quarter of 2007. HDFS maintained its retail market share on new motorcycles sold in the US at 51.4% for the first quarter of 2008 compared to 51.3% for the first quarter of 2007. In terms of credit performance the 30 plus day delinquency rate for managed retail motorcycle loans was 4.78% at the end of the first quarter of 2008 compared to 4.08% at the end of the first quarter of 2007. Consistent with seasonal trends over the past several years’ delinquencies declined from the fourth quarter of 2007 to the first quarter of 2008 and credit losses on managed retail motorcycle loans were 2.71% for the first quarter of 2008 compared to 2.28% for the same period last year. As I noted last quarter we have taken a number of steps to improve the performance of our retail loan portfolio. We continue to enhance our underwriting criteria for new originations. In February, we implemented several changes including adjusting our loan-to-value ratios downward for many of the subprime categories. On the loan servicing side we took actions to further reinforce our collection and loss mitigation activities. We allocated more resources for in house collection efforts and increased the number of collection calls made during the evening hours and weekends. In addition, we expanded outsourcing of both the early stage delinquent loans and accounts in bankrupt status to firms specializing in those activities. In the coming months we will continue to evaluate our underwriting policies and collection practices and we will make changes as necessary. Even in this tough credit environment we are maintaining our commitment to dealers and their customers to lend across a broad credit spectrum. During the quarter the percentage of subprime loans outstanding remain within our historical growth range of 25 to 30% of managed retail loan receivables. Clearly, today’s economic environment has created challenges for HDFS as it has for most consumer lenders. We believe we are taking the right actions to meet those challenges but still expect credit losses and delinquencies to exceed 2007 levels. I am confident that HDFS continues to have a strong business model which positions us to optimize opportunities for future growth. With that, I’ll turn it back to you Tom.
Thomas E. Bergmann: The debt capital market which HDFS relies on to find its portfolio growth continued to experience significant turmoil. HDFS continues to evaluate various options including securitizations to fund its anticipated future originations. Based on market conditions HDFS will adjust funding plans as necessary but I believe it has sufficient financial flexibility and market access to fund the business through the various debt capital markets. As I mentioned earlier HDFS had already completed a first quarter securitization transaction. In addition, HDFS entered in to a new $300 million short term committed credit facility during the first quarter to provide additional liquidity for it on secured commercial paper program. With the new facility HDFS can now issue up to $1.7 billion for on secured commercial paper. HDFS’ balance sheet remains well capitalized with approximately $900 million of equity and strong balance sheet ratios. Now, shifting gears to Harley-Davidson, Inc.’s consolidated financial results. In the first quarter our operating cash flow was $146.8 million. This compares to $519.6 million in the first quarter of 2007. This decrease was primarily driven by HDFS’ smaller first quarter securitization transaction in 2008 compared to 2007 I referred to earlier. For the first quarter of 2008 depreciation was $49.7 million and capital expenditures were $43.2 million. For the full year of 2008 we now expect capital expenditures in the range of $235 million to $250 million compared to our previous guidance of $240 million to $260 million. Turning to our share repurchases for the quarter, the company repurchased 2.6 million shares for $100.1 million compared to 870,000 shares for $61.3 million in the first quarter of last year. We believe share repurchases continue to be a good use of cash and an efficient way to return value to shareholders. Our strategy is to continue to opportunistically repurchase shares when we believe they are undervalued and when we have available free cash flow. As of March 30, 2008 there were 236.5 million shares of common stock outstanding and 20.5 million shares remaining on two board approved share repurchase authorizations. An additional board approved authorization is also in place to offset option exercises. The company’s first quarter effective income tax rate was 36.0% compared to 35.5% in the same quarter last year. This increase was due to the expiration of the federal research and development tax credit as of December 31, 2007. Assuming the retroactive reinstatement of this tax credit the company expects its full year effective tax rate in 2008 will be 35.5%. All in all net income was $187.6 million in the first quarter down 2.5% or $4.7 million from the same period last year. Diluted earnings per share for the first quarter were $0.79 an increase of 6.8% from the year ago period. With that, I’ll now turn it back over to Jim for some additional comments.
James L. Ziemer: As we mentioned at the top of the call I believe there are four key things to remember about the current situation. Earlier, I talked about the first two of these, the challenging environment and our actions to deal with it. Now, let’s turn our focus to the other two. Harley-Davidson remains profitable and it is fortunate to be dealing with the current economic environment from a position of financial strength and perhaps most important Harley-Davidson has always managed the business for the long term and we will continue to do so. When it comes to managing the business for the long term we have one of the most admired brands in the world and one of my highest priorities is to keep it that way. Our business and our dealers businesses are built on being good stewards of a brand. Sometimes that means we have to make a tough call for today based on what’s good for the business longer term. Protecting the brand is why we committed back in January to ship fewer Harley-Davidson motorcycles to our dealers this year and then we expect they will sell at retail on a worldwide basis. It is why we’re acting now early in the year to make good on that commitment as we continue to experience a difficult US economy. Shifting gears to the second key takeaway, we’re fortunate to be dealing with the current economy from a position of financial strength and our actions are designed to maintain that position of strength. Our ability to generate cash enables us to reinvest in the business as well as return value to shareholders through share repurchases and dividends. New products are the life blood of this business. Regardless of the economy customers expect, no they require, a constant stream of exciting new products such as the Rocker C and the Crossbones. So, investing in product development will continue to be a priority. The economic downturn will end and when it does we want to make sure we haven’t loss time or momentum in our product development efforts. We intend to be well positioned to capture future growth opportunities. We also continue to invest strong in our international markets and we see the results at retail. As you’ve already heard retail sales internationally continue to be a bright spot for Harley-Davidson. We’re upbeat about our prospects in the international markets. One final note on our financial strength, based on our longer term outlook we continue to believe we are undervalued at our current share price. We have strong fundamentals and I believe continued growth opportunities once the economy gets back on track which brings me to all the great things going on at Harley-Davidson. A lot of things are already underway this year with a lot more to look forward to. Just over a month ago we were in Florida for a great Daytona Bike Week. One of the highlights was our get down to Dayton contest where six female riders won the opportunity to ride to Dayton with Karen Davidson great grand-daughter of one of the founders. The contest generated more than 17 million media impressions. Looking ahead to the summer excitement continues to build for the opening of the Harley-Davidson museum and for our 105th anniversary celebration when we expect thousands of motorcycles to ride to Milwaukee. Ticket sales for the 105th have been strong and this past Monday, an hour after the tickets to Bruce Springsteen and the E Street Band concert during the 105th went on sale we had sold 20,000 tickets. We believe the museum and the 105th will be great draws for current customers and prospects alike. Both of these events are seeing strong international interest as well. These are just a few examples of how Harley-Davidson experience is exciting for customers today and will be for the next 105 years. Now, we’ll open the call to questions.
Operator: (Operator Instructions) We’ll pause for just a moment to compile the Q&A roster. Our first question comes from Tim Conder, Wachovia. Please go ahead.
Tim Conder – Wachovia : First of all gentlemen we’re hearing things from the dealers that your new allocation program plus what you’re doing on restraining production while painful in near term they do appreciate it and it is the right thing to do. Just a couple of things, the FX benefit Tom, in the quarter either on a sales or EBITDA basis? Then also, any clarity on the material surcharges? Then, the warranty, if you could give us some additional color on the higher warranty expenses?
Thomas E. Bergmann: On the FX front, first on a revenue basis we had a currency benefit of about $45 million during the first quarter and on an operating income or EBIT basis right about $19 million. That quantifies for you the FX benefit during the quarter. On the material surcharge front we’re virtually flat on raw material surcharges, so no significant impact during the first quarter. However, with the recent spike up in aluminum and steel and many of the precious metals we still are anticipating that we will have a negative impact from commodity prices for the full year of 2008 but, for the first quarter really minimal impact. On the warranty side we had a little higher activity which partially attributed to the higher SG&A costs. But again, it wasn’t the major driver of higher SG&A. The SG&A major drivers was one of three things, really the major drivers were higher investment in to some international activities on the marketing and dealer development side. Also, some additional investment in to our product development activities. Then, the third piece of it was just a little higher warranty activity.
Tim Conder – Wachovia : Okay. Then, to circle back to your comments regarding – well, Jim you view the shares as currently undervalued and then you continue to look at doing share repurchases but balancing that versus cash needs how do you see that now as far as keeping that flexibility on the balance sheet should the credit markets remain tight? How do you see that trade off right now?
Thomas E. Bergmann: Clearly, at these values and given the prospects we have for the business we continue to view the shares as undervalued but we do take a conservative philosophy to the balance sheet and making sure we maintain significant liquidity and financial flexibility which really shows through times like this. We’re targeting still to maintain a cash positive balance sheet at an ink level so basically somewhere in the neighborhood of $300 million plus or minus a $100 million or so for seasonal working capital needs. But, the great thing is even the strength of this business model will still produce some excess free cash flow and as we do that we’ll have the opportunity to buy shares back.
Tim Conder – Wachovia : So you’re telling me you see a $300 million at the ink level, again you’re looking at that as being the free cash flow generated and then you go from there?
Thomas E. Bergmann: No, let me clarify there, Tim. The $300 million is really a targeted cash balance on a consolidated financial basis to maintain a cash positive balance sheet. As you look at pluses and minuses on cash flow throughout the year with different seasonal needs that number can vary $100 million or so up or down but that’s kind of a targeted consolidated cash number.
Tim Conder – Wachovia : Great. Final question, Europe you guys were up 4.5% but the market up almost 20, can you kind of talk us through the differences there? And again, you were going against a difficult comparison overall but the wide variance between what happen with Harley in the market and again, I know it’s only on two months here.
Thomas E. Bergmann: Again, I think that’s an important point. I mean, internationally including Europe, we continue to have good momentum in the marketplace. If you look at the first two months of the year we think there are some anomalies in there, the market was up significantly. While we still do expect growth in the overall European marketplace we don’t think it will be as significant as it was in the first couple of months for a variety of factors. But, the good news is that I think we continue to feel well positioned and, you’re right, we have for over three years now had strong double digit growth in the European marketplace but given what Michael van der Sande and the team are doing over there we feel good that through the product changes we’re making and the other dealer activities and the marketing programs that we’re still well positioned to have strong growth in Europe this year.
Tim Conder – Wachovia : Was it bike availability maybe Tom? Because your receivables were up pretty high too? So, was there some things shipped internationally very late in the quarter?
Thomas E. Bergmann: There’s a couple of things, the inventory level were up and that primarily relates to having bikes on the water and bikes in our international market to support that growth. So, if you look at our on balance sheet inventory a lot of that increase is due to supporting that strong international growth. The change in receivables that you mentioned is actually due to part of a process we went through at looking at ways to streamline our operations and improve some of them and at the beginning of the year we ended up transferring in the neighborhood of $100 million of receivables from Harley-Davidson Financial Services in Europe to Harley-Davidson Motor Company In Europe. Those are wholesale receivables from our European dealers and we’re now going to manage those receivables out of the motor company organization in Europe. So, those use to be reported on a different line in the balance sheet so it’s really just a switching of lines in the balance sheet causing that receivable increase. But, we did have some delays in product getting to Europe to your point and that’s what drove the inventory increase.
James L. Ziemer: Tim, I just want to respond going back to a couple of questions ago on your comment on my commentary on the undervalued of Harley-Davidson stock. I mean, if I look at it again, I mean kind of wrapping up, we’re growing internationally double digits, we’ve been doing that for years. US market and in a very difficult economic client we’ve gained market share, we’re tracking our used bike sales, they’re at an all time high. There’s been demand for our product just that it’s a difficult economic climate. We’ve got a great brand and as Tom has been commenting we generate a lot of cash. All this said, we are a great company and certainly undervalued by the market.
Operator: Our next question comes from Ed Aaron, RBC Capital Markets. Please go ahead.
Ed Aaron – RBC Capital Markets: First I wanted to ask one thing on HDFS and then I have another one after that. There was an auto retailer with similar exposure to the asset backed market that recently raised its discount rate on retained securitization interest, did you consider making a change of this sort? And, are there any structural differences that would warrant a different rate for you versus that other retailer?
Thomas E. Bergmann: As I’ve said before, every quarter we need to go through our normal process and evaluate all the assumptions including the discount rate on our securitization transactions. So, as part of our normal process we go through and look at it every quarter and make sure that it’s within an appropriate or acceptable range. So, in the first quarter it was no exception, we went through the normal exercise and we went through the range and determined that the 12% discount rate we used is well within that range and there was no need to change it at this point in time. So, yes we did go through the exercise like we did every quarter. Just something to point out, just so you’re aware of it, we won’t discuss necessarily the dollar impact of changing the discount rate but in general a change in the discount rate would be reflected on the balance sheet through other comprehensive income and not through the income statement. This happens and it goes through OCI instead of the P&L because the change in the discount rate only represents a change in the timing of projected cash flows so it’s consider a temporary adjustment rather than a permanent adjustment. I just wanted to point that out while permanent adjustments go through the P&L something like a discount rate change generally goes through OCI.
Ed Aaron – RBC Capital Markets: That’s helpful, thanks for the clarity on that. Then, another question is on HDFS does your current guidance factor in any additional impairment charges or anything kind of one time in nature there?
Thomas E. Bergmann: Our guidance for HDFS includes looking carefully at future delinquencies and credit loss assumptions. I won’t comment specifically on any impairment losses but clearly we’ve taken in to account the trends we see in the business, the actions I talked about, about trying to reduce delinquencies and credit losses so I think we’ve comprehended based on what we know today in all the guidance that we’ve given.
Ed Aaron – RBC Capital Markets: Then just finally and I guess just a broader question, can you talk about other changes besides production and downsizing that you’re making or contemplating just to adapt to today’s business environment? Are you changing your approach to advertising and marketing? How are you thinking about promotional programs along the lines of stick it to the man last year? Then maybe even most importantly, how quick do you think your dealer network is to adapt to this new business environment because it is significantly different from what it was three or four years ago?
James L. Ziemer: As we look at the business the number one thing again is managing the business for the long term. And, as I said earlier, one of the big things there is managing the brand and we’re not going to go out there and over produce and try to have to clear inventory through different means and promotional activities. We are focused even as we adjust to this current economic environment we are heavily investing in engineering and in marketing activities in all our markets so we are well positioned and prepared to participate when the economy comes back. But, as we continue to look at the business and look at the environment we will continue to reevaluate as we always do the things that we are doing within the business when there are core competencies. So, that activity continues to go on. The one thing we are going to do, I’ll put it in the positive state is continue to invest in marketing and product development activities that we need to continue to grow this business.
Operator: Our next question comes from Felicia Hendrix of Lehman Brothers. Please go ahead.
Analyst for Felicia Kantor Hendrix – Lehman Brothers: One quick question on your allocation system, how much impact will that have in the second half of the year versus the general overall economic environment?
James L. Ziemer: The allocation system that we have for North America is designed to respond to what’s going on in a market-by-market and dealer-by-dealer basis. So, depending on what’s going on within those regions that allocation system will respond to the retail activity and within the regions and market of the US. The differences between now and obviously we are currently reducing our shipment forecast but that’s in line with retail and then our allocation system would tell us that we need to be shipping less units and depending on how the economy goes that allocation system by dealer will give us an indication of how distribute out that product.
Analyst for Felicia Kantor Hendrix – Lehman Brothers: It’s sort of a similar question, what’s the target international sort of shipment rate this year, 2008? And, what percent do you want to get up to?
James L. Ziemer: We’re going to continue to grow the business especially internationally and obviously international has become a bigger portion of the business maybe a little faster than we anticipated the wrong way because the US has come down. But, we expect for the foreseeable future to grow our international sales faster than our domestic sales. Depending on how long this US economy stays where it’s at will kind of dictate what our mix between shipments between our different markets.
Analyst for Felicia Kantor Hendrix – Lehman Brothers: You’re at about a 33% in the first quarter and I know second and third quarter are more heavily weighted towards the US typically, can you see it being at 30% for 2008? Will that be a surprise to you or no?
Thomas E. Bergmann: I think the way to look at it is last year we ended 2007 just over 27% on the international business and I think we anticipate that we’re in a position to make sure we’re at a higher percentage than that for the full year 2008.
Analyst for Felicia Kantor Hendrix – Lehman Brothers: Final question, in the first quarter did any of the families or models sell better at retail than others? Do some of the families do worse at retail? Was there sort of a mix in demand at retail for some of your bikes?
James L. Ziemer: As we look at it some bikes are more seasoned than other bikes. Whenever you come out with the introduction of a new product certainly that has an impact on the retail sales of our motorcycles. As we look at it we just came to market in the first quarter with the Rocker C and the Crossbones, definitely they were hits and they are moving quite quickly when they hit the dealer floor and, our Dyna family has responded very well. So, I think as I look at the products those are probably the fastest movers off the dealers’ showroom in the US right now.
Operator: Our next question comes from Patrick Archambault of Goldman Sachs. Please go ahead.
Patrick Archambault – Goldman Sachs: I just wanted to see can you give us a sense of the cadence of US retail sales that’s implied by your new shipment guidance in terms of percentage?
Thomas E. Bergmann: Well Pat, what I can tell you is that we don’t give specific retail sales forecast for the year but clearly the action we’ve taken today I think reflects that we don’t have a strong outlook for the US economic environment here in the US. By taking out the production units that we have and combining that with our commitment to ship less than we retail on a worldwide basis I think you can make a pretty good approximation or you can estimate pretty well what our outlook is for the full year.
Patrick Archambault – Goldman Sachs: Okay. And, I guess just on that relating to the 13% decline we saw in Q1, what kind of impact do you attribute to just pure end demand weakness? And, what kind of impact would you attribute to tightening credit standards just pushing a couple of marginal borrowers out of the position of buying a bike?
Thomas E. Bergmann: From our perspective it’s always something that we look closely at from a consolidated perspective and also looking at it from an HDFS profitability perspective to make sure that we’re being financially prudent in having the right underwriting standards to drive the right returns and profitability at HDFS. So, we’re always questioning and looking at a lot of analytics around making sure we’ve got that proper balance. For the first quarter I would tell you that the majority of the decrease in demand at the retail levels really is just due to macroeconomic conditions in the US and the issue that we see around consumer confidence and home equity. Possibly, on the margin there may be a motorcycle sales loss here or there for credit but it’s really from our perspective, I think we’re doing a great job of balancing our underwriting criteria and making credit available so we really view this as entirely due to a macroeconomic conditions in the US.
Patrick Archambault – Goldman Sachs: One last one, I think I missed it, can you just repeat the amount of the charges that you’re going to take based on some of the restructuring actions on the labor front? And, give us a sense of the timing, are they all going to be in second quarter?
Thomas E. Bergmann: The amount that we’ve included in our full year guidance is a charge of approximately $20 to $25 million and at this point I anticipate recording that in the second quarter.
Operator: Our next question comes from Tony Gikas of Piper Jaffray. Please go ahead.
Tony Gikas – Piper Jaffray: A couple of questions on the guidance change you’re taking the EPS for the year towards the $3 level now and we know what the change is to production. Could you provide a little bit more direction or guidance on the changes with gross margin with Harley-Davidson Financial Services? If you gave that guidance I missed it, I apologize. Then, the impact from potential changes to share repurchases that you’re factoring in to that guidance? Then, as a part of that do you feel like you have enough long term visibility on the business to be buying back significant levels of stock at this point? Then, a short follow up.
Thomas E. Bergmann: Alright Tony, I’ll start. We don’t give any specific guidance around HDFS or specific gross or operating margin performance. But, if you look at the change in shipments and the change in EPS the decrease in EPS is due to really several factors. Clearly, when you take out this amount of volume we have some manufacturing inefficiencies, the biggest piece of it just being the cost absorption of fixed costs. We also have some obsolescence issues with some parts as we’re going to take out a significant amount of units during the second quarter. So, there are a number of manufacturing inefficiencies that will clearly negatively impact gross margin throughout the year. In addition, in to that guidance we also have the workforce reduction charge that I just referred to of $20 to $25 million that is in there as well as well as some negative mix that we expect throughout the year so there are a number of things that are going in that drive that lower EPS guidance. The final one is really anticipated lower share repurchase activity given the expected lower cash flow from operations this year while we’re still anticipating share repurchase activity with excess free cash flow it is obviously lower than what we initially anticipated going in to the year.
Tony Gikas – Piper Jaffray: Did you hear from your dealers, do customers ever trade down in the models? Or, do they just buy less frequently or perhaps delay their purchases?
Thomas E. Bergmann: There’s no indication we have of trading down. Clearly, I think what happens in this macroeconomic environment is we’ve seen strong used bike sales so I think more of customers moving in to used bikes in this economic environment instead of new which is actually over the long run good news because once we get them in to the Harley-Davidson family they’ll drive additional parts and accessory sales, general merchandise sales and we’ll come out with that new design and new technology that they’ll ultimately trade up in to a new motorcycle. I think we’re seeing the impact of the macro conditions here probably not so much on trading down or that kind of scenario, I think we’re seeing it as a shift more to used bike sales which over the long run will actually help us.
Tony Gikas – Piper Jaffray: Okay. Then just two quick housekeeping questions, what was the total headcount change or reduction is maybe one way to ask it? Then, did you give the HDFS share in the quarter?
Thomas E. Bergmann: If you look at the headcount on the production front it’s 370, on the non-production side 360. And, the share was basically flat for HDFS and 51.3 or .4%.
Tony Gikas – Piper Jaffray: Could you just quantify what the reduction of the total headcount was in the firm? I’ve got the numbers 370 and 360.
Thomas E. Bergmann: Yeah, if you look again at the unionized employee hourly impact the 370 is approximately 6.5% of that North American workforce and if you look at the non-production workforce of 360 positions it’s approximately 10% of our North American motorcycle operations.
Operator: Our next question comes from Bob Simonson of William Blair. Please go ahead.
Bob Simonson – William Blair: Tom, one more question on the reserves, does that go through one line item or does it get spread partly in the gross and partly in SG&A?
Thomas E. Bergmann: It will be partially in both, Bob.
Bob Simonson – William Blair: Why did you switch the receivables from HDFS Europe to the Motor Company? Was that a function of capital markets in Europe? Why?
Thomas E. Bergmann: It was really an opportunity for us, as we look at some of our operational excellence initiatives and continuous improvement in looking at ways to make sure we have an efficient cost structure we really saw that we had a duplication of efforts in our European markets where we had similar activities going on within Harley-Davidson Financial Services Europe and Harley-Davidson Motor Company Europe. So, this was an opportunity for us to move some of those activities and put them with an existing workforce and actually end up with SG&A and costs savings as a result of doing that.
Bob Simonson – William Blair: And, I don’t know that you normally comment on this but can you make any comment on US retail trends at the beginning of the quarter versus the end?
Thomas E. Bergmann: Throughout the quarter January and February started off slightly down but we did see as we went in to March an acceleration of the decline in retail trends. As we said in our January press release we wanted to closely watch the quarter so we continued to monitor it through January and February and then when we continued to watch it in to March and saw the increased decline in retail sales that’s when we got together and decided on the actions that we announced today.
Operator: Our next question comes from James Hardiman of FTN Midwest Securities. Please go ahead.
James Hardiman – FTN Midwest Securities: A couple of brief questions for Tom or Saiyid on HDFS, can you comment at all on sort of where the securitization markets stand today versus when you did your first quarter securitization? And, do you expect to complete any here in the second quarter? Or, sort of what are your expectations for the rest of the year in terms of getting securitizations done?
Thomas E. Bergmann: Sure. The securitization markets continue to be challenging for a lot of issuers and obviously we’re continuing to monitor it closely. As I mentioned in my prepared remarks HDFS is doing a lot of work now and looking at evaluating all of our different funding alternatives whether it bet the securitization market or the on secured debt market or the commercial paper program or asset backed warehousing facilities and so forth. They’ve got a lot of options and a lot of flexibility so they’re going through and constantly staying on top of the marketplace and we’re looking for really what is the most effective way to fund that business throughout the rest of the year. So, I really can’t give you a clear answer whether or not it will include a securitization transaction or transactions or how much they will be because it’s really going to depend on how that market responds and reacts over the next several months and throughout the rest of the year. So, the good news is we’ve got plenty of alternatives in different markets we can go to. Which one we go to will ultimately be determined by how the markets respond and where we can get the most effective way.
James Hardiman – FTN Midwest Securities: Okay. Just real quick, in terms of the market share I think you said it was 51%, I guess that’s flat year-over-year but I think that’s down a little bit from I think it was 55% for the full year last year. Is that just something seasonal or are we seeing credit requirements for you guys a little bit higher than maybe some of your competitors and how do we expect that to trend this year?
Saiyid T. Naqvi : Last year the full year number was higher than 51.4% driven largely by the stick it to the man promotion in the summer. We think that our share will probably not be as high this year in spite of the fact that some of the competition has gone down in the last few months. But, we are steady year-over-year and we are pretty optimistic that we will continue to be in the 50s. It’s hard to predict exactly what number we’re going to have.
James Hardiman – FTN Midwest Securities: Great. Then, just one final question, in terms of your guidance for the year I think you said the reduction in shipments year-over-year is going to be anywhere between 23 and 27,000 shipments lower than last year. 15 to 19 of that is coming out of the second quarter so it seems like the vast majority is going to be in the second quarter. Obviously, the third quarter is a big selling quarter for new products and you also had some new products that last year were delayed somewhat so I don’t know if you can tell us anything even qualitatively about the production cuts in the back half of the year and how they play out?
James L. Ziemer: We’re not going to go through the quarter-by-quarter production cuts but I can give you some insights. Dynamics between the US market and the international market kind of cause some of those. So, as the international markets pick up it mitigates some of the – what happens is the output of taking some of the cuts in the US production. So, it’s because of the international markets going up and the domestic market is down that we can’t do a one-for-one correlation there.
Operator: Our next question comes from Steven Rees of J.P. Morgan. Please go ahead.
Steven Rees – J.P. Morgan: I just want to ask about the overall pricing environment that you’re seeing at retail, have you seen anything on the promotional side or discounting side that is worrisome to you at this point given the demand picture?
Thomas E. Bergmann: Clearly, there’s a lot of factors that go in to the transaction at the dealer level when we start looking at promotional activities and MRSP and so forth. There’s a lot that goes in to that overall transaction, for example, sometimes there’s accessories involved and general merchandise, sometimes there’s scheduled maintenance involved and gas cards. There’s all other factors not even to mention how you treat the trade in value of a vehicle. So, all in all overall we still feel that while we don’t make a blanket statement about selling prices we do believe that many of our motorcycles out there in the dealer network are selling at or above MSRP. But, clearly because of this lack of clarity in to some of the transactions there probably are some that are selling out there below. It obviously varies by dealer and by location but overall we think our dealers are doing a nice job of managing through this environment and really doing the right outreach activities and marketing activities to maintain the premium status of the overall Harley-Davidson brand.
Steven Rees – J.P. Morgan: Okay. My final question is you talked about – I think Jim talked about the used market being at record levels and one of your initiatives at your analyst conference was I guess just encouraging more dealers to offer used products. So, can you just talk about how many dealers, what percentage today in the US offers used products and where you think that will or should go over time?
James L. Ziemer: All our dealers sell used products. Some do a much better job than others, some go out and actually aggressively acquire used products where other ones their main stay of business is based on trade ins but they’re all doing used products some just do a little bit better job. I want to thank everybody for their time this morning. I appreciate your interest and investment in Harley-Davidson. Now, I’ll turn it back over to Amy for some final logistics.
Amy Guiffre: If you would like to hear a replay of this conference call 706-645-9201 and enter pin number 39966333# until April 24th. Or, access the conference at www.Harley-Davidson.com. If you have any questions please do contact me in the office of Harley-Davidson investor relations at 414-343-8002. Have a great day everyone.
Operator: Thank you. This concludes today’s Harley-Davidson first quarter 2008 earnings conference call. You may now disconnect and have a great day.